Operator: Greetings and welcome to the Lazydays Holdings Second Quarter 2024 Conference Call. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kelly Porter, Chief Financial Officer. Thank you. You may begin.
Kelly Porter: Good morning everyone and thank you for joining us. On the call with me today are John North, CEO, and Amber Dillard, Vice President of Operations. Before we begin, I would like to remind everyone that we will be discussing forward-looking information including potential future financial performance which is subject to risks, uncertainties, and assumptions that could cause actual results to differ materially from such forward-looking statements and information. Such risks, uncertainties, assumptions, and other factors are identified in our earnings release and other periodic filings with the SEC as well as the investor relations section of our website. Accordingly, forward-looking statements should not be relied upon as a prediction of actual results and any or all of our forward-looking statements may prove to be inaccurate. We can make no guarantees about our future performance and we undertake no obligation to update or revise our forward-looking statements. On this call we will discuss certain non-GAAP financial measures. Please refer to our earnings press release which is available on our website for how we define these measures and reconciliations to the closest comparable GAAP measures. With that, I'd like to turn the call over to John North, our Chief Executive Officer.
John North: Thanks, Kelly. Good morning, everyone. Thanks for being with us today. As in usual form, I'll make some opening comments. Amber will talk about operations. Kelly will discuss our financial results and then we'll take a couple of questions. Obviously, the second quarter didn't develop as we had hoped. Consumer demand for discretionary items, including recreational vehicles, has been under pressure and the recovery anticipated in 2024 remains elusive. According to statistical Surveys Inc., U.S. retail year-over-year RV registrations declined 6% in April, 10% in May, and 21% in June. While this might suggest that trends are deteriorating sequentially, we believe it is more indicative that the seasonal sales increase is typically experienced in the summer months did not occur this year. Our best view is that the second quarter sales trajectory continued in July and most industry experts are pointing to 2025 as the likely inflection for a meaningful industry recovery. So, facing that backdrop, we have continued to focus on the things we can control, maintaining healthy vehicle inventory, improving F&I per unit, and achieving substantial total gross margin improvement sequentially from the first quarter. Given the unit sales volume and financial results in the quarter, subsequently, we implemented further cost reduction actions in August that should be substantially complete by the end of next month. We anticipate these decisions will save approximately $25 million annually. We also closed one underperforming and consolidated two locations into one that were in close proximity in our Arizona market. While portfolio optimization decisions are difficult, they are necessary. Despite these two-store actions, we remain enthusiastic about the rest of our best-in-class locations and will continue to adjust our expense structure as necessary to match the revenue opportunities available. At the end of the second quarter, we have continued to focus on preserving liquidity, maintaining our healthy inventory levels, and deferring all non-essential spending. We are also pleased to announce that Coliseum Capital Management is committed to advancing another $5 million against their outstanding mortgage facility, which will be a further boost to provide operational flexibility for the fall. As always, I want to thank our entire team for delivering the improvements and operating results that are within our control and providing exceptional customer experiences as we await the market recovery. We remain confident in the earnings power of our company and look forward to unlocking its full potential as the industry recovers. And with that, I'll hand it over to Amber.
Amber Dillard: Thanks, John, and good morning, everyone. On a same-store basis, we saw a decline in both new and used unit volume relative to the first quarter, partially offset by significantly improved gross profit per unit, reflecting the benefits of the inventory actions we took earlier this year. As a result, on a same-store basis, our total gross margin improved to 19.4% in the second quarter compared to 14% in the first. A particular bright spot was in F&I, where our same-store result was over $5,300 per unit, up 6.9%, despite average selling prices being lower by approximately 17% on a blended basis. Of note, our finance penetration in the quarter was 75% compared to 64% in the first quarter. We have continued to focus on maintaining our healthy inventory position while increasing our efforts to procure more used units directly from consumers, as trade-ins on vehicle sales in 2024 have been lower by approximately 50% compared to our historical averages. As of today, our new inventory is comprised of 26% model year 2025 units and 69% model year 2024 units, with less than 140 2023 units remaining. Also worth highlighting, over 75% of our inventory is towable product, up from 70% at the same time last year. We continue to evaluate our product mix on a store-by-store basis, refining product classes, brands, and stocking levels based on market demand and the local competitive landscape. We have placed a greater emphasis on more affordable travel trailers to appeal to payment-driven and first-time buyers and are being judicious with stocking levels around motorized inventory, particularly in the Class A segment. Earlier this year, we implemented a consignment option for consumers interested in selling their RV, where we are unable to agree upon a purchase price. We've had incredible success with the program as it continues to ramp up and resonate in the marketplace. Specifically, of the units we sourced from customers, 53% of our June units and 61% of July units acquired were consignment versus an outright purchase. These units still generate a normalized gross profit, but do not incur floor plan expense and do not expose us to inventory risk because of valuation changes or completed reconditioning work that we cannot recover when the unit is sold. Regarding cost control, relative to last year, we are up approximately 1% in SG&A expense, despite adding seven locations or a nearly 30% increase in our store count year-over-year, the absolute change in SG&A dollars increased by just under $500,000, which is a testament to the team's effort to find all opportunities to control costs and find expense reductions. As John mentioned, we have taken further action since the end of the quarter that should drive over $2 million a month in incremental savings in the future. With that said, there is not a store in our network that does not have significant opportunities to improve performance without relying solely on a market recovery. We continue to work closely with our general managers to identify ways to increase volume, improve F&I and drive incremental service revenue. In addition, we are laser focused on continuing to grow and integrate the stores we added to the portfolio last year. We look forward to providing incremental updates around our success in these areas in the quarters to come. We'd also like to take a moment to clarify some of the rumors that have been circulating in the industry. We would note that we are not contemplating nor are we in discussions with counterparties regarding strategic transactions involving significant store divestitures or business combinations at this time. While we remain open to potential transactions that are in the best interest of our shareholders, currently, we believe the most prudent course of action is to focus on strategic financing so that we maintain scale and gain additional flexibility to operate the attractive platform of dealerships in our asset portfolio. And finally, I'd like to thank our employees for their unwavering dedication and hard work and our OEM partners for their ongoing continued support as we navigate these difficult but not unprecedented times. With that, I'll turn the call over to Kelly.
Kelly Porter: Thank you, Amber. Please note that unless stated otherwise, the 2024 second quarter comparisons are versus the same period in 2023. Total revenue for the quarter was $238.7 million, a decrease of 22.6%. From this point on, all metrics will be on a same-store basis unless stated otherwise. New unit sales declined 15.2% in the quarter and gross profit per unit, excluding LIFO, declined 48.6%. Compared to the first quarter of 2024, however, we saw new gross profit per unit increased more than 200% to $6,552 as a result of the aggressive inventory actions we took earlier this year. Use retail unit sales decreased 30.7% and gross profit per unit decreased 25.7%. Compared to the first quarter of 2024, gross profit per unit increased more than 150% to $10,075. Finance and insurance revenue declined 18.8% during the quarter, primarily due to decrease in unit volume and higher chargebacks. As Amber mentioned, F&I per unit increased 6.9% despite average selling prices, decreasing approximately 17%. Our service body and parts revenue decreased 12.2% and our gross profit decreased by 5.1%. Our gross margin on service body and parts increased 390 basis points. Adjusted net loss was $18.4 million for the quarter compared to net income of $3.9 million last year. Adjusted fully diluted earnings per share was a loss of $1.42 for the quarter compared to income of $0.14 in the prior year. Moving on to liquidity and capital allocation, as John said, we're securing an additional $5 million of capital through an increase in our outstanding mortgage facility. This will be a welcome boost of liquidity as we continue to seek additional capital sources. As a reminder, the mortgage facility currently has a balance of $50 million and includes real estate with a basis of approximately $127 million. We estimate that we can generate an additional $45 million in mortgage proceeds by refinancing these locations at a 75% loan-to-value rate similar to other properties we financed in 2023. Given our performance in the second quarter, we received a waiver from our syndicated lenders as of the end of the quarter while we negotiate an amendment to our credit facility. As a result of the waiver under generally accepted accounting principles, we are required to present our long term debt in current portion on our balance sheet. We view this accounting convention as not painting a complete picture of our financial condition. We would note that our lenders have not accelerated any amounts due or made any repayment demands on our outstanding debt. I want to thank our bank partners for their continued partnership to allow us the flexibility and room to navigate the current economic environment and focus on improving operating results throughout 2024. As of yesterday, we had cash and cash equivalents of $25 million, not including the incremental $5 million we should be receiving in the next few weeks. We have taken significant actions to further reduce our overhead expenses by over $2 million per month and have deferred all non-essential spending. We are confident we have adequate liquidity to continue to navigate the current economic environment and look forward to updating you on our progress as we seek to raise additional capital in the future. With that, we can open the call to questions. Operator?
Operator: Thank you. We will now be conducting a question and answer session. [Operator Instructions]. Our first questions come from the line of Daniel Moore with CJS Securities. Please proceed with your questions.
Daniel Moore: Thank you. Good morning John, Amber, Kelly, and I appreciate the color. Maybe starting with just your kind of near-term outlook. How are you thinking about Q3 at this stage from a new and used unit sales perspective and revenue. You see Q3 being similar to Q2 sequentially, a little bit more challenging. How do you see it shaping up so far?
John North: Good to hear from you, Dan. Good morning. I think July was pretty consistent with the run rate we saw at the end of June in terms of unit volume. About halfway through August, and I would say August is historically when you start to see the seasonal slowing. So probably too soon to tell what the fall looks like, and I'm probably not smart enough to be a good prognosticator anyway. I think our baseline assumption is that things are kind of bump -- are going to kind of bump along here, but obviously a lot's dependent on what happens with interest rates, and then certainly there's some political uncertainty that's probably adding to some odds for consumers. So, I think we're not expecting a big improvement. I think our best view is that things are going to kind of bump along at a similar trajectory with maybe some of the normal seasonality coming in as we move through August and September. We do have quite a bit of concentration in Florida and Arizona, and usually August and September are the slowest months in those markets, just given the heat and kind of back-to-school stuff. So that's kind of how we see things today.
Daniel Moore: Really helpful. Big picture, you made a ton of progress, obviously, on right-sizing inventories. Clearly, most of the recovery thus far in RV has been at the lower-end price points, entry-level units, much more so than maybe we would have anticipated the year ago. And I guess, how are you thinking about adjusting your inventory further? Said another way, what's the right mix of kind of high, middle, low-cost RVs versus your historic or current mix from an inventory perspective?
John North: Yes, I think it's a nuanced question for us. I think big picture. Everybody's looking for lower-priced units, whether you're talking about towables, whether you're talking about fifth wheels. And I think we've seen some pretty good reductions in 2025 relative to 2024. I think I saw a stat last night that towables were off of 24% or something. Amber, is that right?
Amber Dillard: 24% decrease in price.
John North: Yes, 25% to 24%. So, I mean, that's a meaningful change. And that's the OEMs are working hard, obviously, to try to make affordability. And that payment more in reach with consumers, I think the challenge is more on the motorized side, because chassis costs are still at 15%. And if you're talking about Ford or Mercedes or whomever or even the bigger stuff that's coming from the Class As, et cetera, I mean, those underpinned kind of chassis have not come down similarly in price. And so, I think the ability to find more affordability is more elusive on the motorized side. So, I think it's kind of a mixed bag, certainly on the towable piece where the OEMs control more of their destiny. We're seeing some pretty good movement there and then just generally a shift toward the entry-level stuff, whether you're talking towables or fifth wheels in particular. And you see that in the sales data and certainly what's moving in the marketplace. I think for us more specifically, historically, as we grew through the pandemic, I think we tried to replicate a lot of the inventory and the stocking across the country that was kind of the hallmark of what we did in Tampa, which tended to be higher end and more motorized based. And I think, as we've gotten on the other side of the pandemic, we've seen that in some of these markets, we probably need to be more of a towable and more of an entry-level focused dealer, which is more what the market bears. And so that's been something that Amber and the operations team has been pivoting in some of our locations that are farther afield from the home base here in Florida. So, I think that's in play too. And as you mentioned on the call and prepared remarks, I mean, we're up to 75% towable inventory versus 70% last year, but on almost a thousand fewer units year-over-year. So that's a pretty meaningful change, if you think about the mix relative to those proportions and then just the absolute reduction in inventory. And some of that's a function of pivoting to the market, some of the function of being really cautious on the heavy motorized stuff in particular Class As, which are certainly the -- probably the most challenged part of the market right now, which unfortunately skews more toward us, just given historically the mix and the markets we've played in.
Daniel Moore: Really helpful. I'm going to ask a couple more just -- a few moving parts, obviously kind of where we sit today. Just beyond the incremental $5 million from Coliseum, is there anything you can say, at this stage about what other forms of potential financing you're contemplating?
John North: No, in a word. Obviously, we have to be careful there. But I think as we tried to elude in the prepared remarks, we've got what we believe is a really good foundation of stores. Certainly when we look across the portfolio, the markets that we're in and thankfully the brands and the partners that we have, I believe are among the best in the industry. I think we're dealing with the industry challenges that everybody's facing and then probably there's a compounding effect because of where we play in the market, which some of those segments have been even weaker than the overall, which is tough to parse when you're just looking at like SSI data or something like that. When we deconstruct it certainly seems like we're holding our own and kind of a very difficult part of the market. And so, I think we've got an ability to run processes and to evaluate certain transactions and to appeal to investors that can take a long review that know that this industry has typical ups and downs and eventually we're going to come to the other side of it. And so, I would say, we've had very constructive conversations in that regard. There's certainly interest out there. And obviously as we have stuff to share, we'll continue to update you. I would also highlight that our lender group has been incredibly supportive. Certainly they understand our inventory is in really, really good shape. We've done a phenomenal job of optimizing and making sure that we've kept things healthy. And that was a very painful part of last year and the first quarter of this year. And you can see the sequential improvement as we got through it. And what we have is generating good profitability and there's good dollars to be had. We just need more of it, and that's going to come eventually. And so, from here to there, we've got to figure out how to just try to continue to take costs out to scale to revenue and look for those incremental opportunities to raise capital. But that's sort of the path forward for us.
Daniel Moore: Very helpful, John. Last one for me, and I'll jump back to any follow ups. The restructuring, $25 million targeted cost savings. Anything to say about kind of primary buckets, but maybe more important, what's the cash cost to achieve them? And when you anticipate hitting that full run rate? Thanks again for the color.
John North: There's not a ton of cash cost. I mean, we obviously are looking really in probably three buckets. I mean, there's really only controllable costs in a dealership, our people, marketing and floor plan. I mean, that's really the things you can get at in the near term. And within corporate, it's really just people and vendors. Those are the things you can adjust in a 60 day timeline. And I would say, that over an infinite timeline every fixed cost becomes variable, but when you're talking about something as near term as a month or two, those are the levers to pull. So we certainly made some very, very painful personnel decisions, both in corporate and in the field. And those are just totally gut wrenching and certainly not the first time we've had to make some of those reductions. And that was a big part of what we had to do in July. And you'll see some of that pick up in August. And then, you know, from there, it's looking at marketing and vendors and really trying to get as aggressive as we can to, what are the absolutes that we have to have versus what are the things that might be strategic priorities, things that we believe there's an ROI on, and any of those investments or any of those transformative efforts have been effectively paused at this point outside of a very, very select list of stuff with an incredibly high ROI. So, those are really the buckets. I wouldn't say there's going to be a lot of incremental cost to get there. But as we talked about, it's going to take the third quarter to kind of get through it. So you really won't see the full run rate effects of those until the fourth quarter, which is not coincidentally focused on the fact that if things do see a seasonal slowdown from here in the fourth quarter like they would, that way we're better prepared for that. Now, I certainly hope that doesn't happen and we just sort of bump along here at the nadir of what's expected with unit volume. But we also have to hope for the best, but prepare for things to potentially get tougher. And that's what we're doing.
Daniel Moore: All right. Thank you again. I'll jump back for any follow us.
John North: Thanks, Dan. Appreciate the questions.
Operator: Thank you. Our next question has come from the line of Griffin Brian with D.A. Davidson. Please proceed with your questions.
Griffin Brian: Yes, thanks. So I guess to start, can you guys kind of speak to how performance varied from a regional perspective over the quarter? We've just kind of seen some of our other power sports companies be affected by less than optimal weather. So just kind of curious if there's anything to call out there that happened within the quarter and then maybe what you're seeing in July and August from that perspective as well?
John North: I don't recall anything in particular in the second quarter. I would say, when you're looking at a group of stores and this predates even my time at Lazydays, but you have a basket of stores, you'll see one store have a good month, and then the next month, they'll maybe not have as good of a month. And then conversely, a store that didn't have a good month has a better month. I mean, they all kind of triangulate around some normalized distribution of performance. But I don't have anything specific to call out by region that I can think of as top of mind, other than the normal seasonality. Certainly the Southern stores tend to slow as you move into summer. And then the Northern stores pick up as the weather changes and people start to come out of hibernation. And I wouldn't say it was necessarily any different. We just didn't see the volume recovery that we had hoped in particular in the North. And I think that's reflected more broadly in the industry looking at the SSI data for those three months as we talked about in the prepared remarks. In terms of July and August, August in particular, the hurricane that came through here in Florida a couple of weeks ago, probably cost us a weekend, you know, at a few of our stores. There's always some disruption when that happens and anytime insurance companies start or stop originating insurance policies, which is their MO when a hurricane is coming in, you can't deliver anything. So you lose some sales and some time there and how much of that is made up and is deferred versus loss is always a very difficult question. But that happened, hopefully not on wood somewhere. We don't have any more storm disruptions, but I wouldn't call it anything else specifically from a geographic perspective.
Griffin Brian: Understood. And then what are you guys seeing in terms of comparable pricing for model year '25 units versus model year '24? And then maybe any level of like decanting that there may be happening within the towable and motor home segments?
Amber Dillard: Yes. Hey Griffin, this is Amber. I would say that our travel trailer pricing has been the most impacted year-over-year. So we've seen a pretty significant decrease both because we've been working with the OEMs and they've been able to decontent to kind of attack those entry-level price points. So we've seen double-digit reduction in the travel trailer pricing. And as John mentioned earlier, in motorized, we've been able to successfully decontent some of our models and offer some more affordable options and Class Cs and Bs specifically. So we've seen single digit reductions there between '24 and '25 Class As again, due to chassis prices, primarily we have not seen the movement as much.
Griffin Brian: Okay. Got it. And then this last one for me, I guess what are you guys expecting to get out of open house next month and then maybe just any early thoughts on restocking levels as we head into the fall here?
Amber Dillard: I think our primary goal at open house would be to continue to refine the mix that we have in some of our newer stores and continue to look for affordable options and greenfields and acquisitions that we opened late last year. In terms of stocking, we will continue to be very judicious about how we run through the winter and what we stock based on what the market's calling for on a regional basis. So I don't see any large restocking efforts coming into open house.
Griffin Brian: Great. That's all for me. Thanks guys.
Operator: Thank you. I'm showing no further questions at this time. So I'd like to hand the call back over to John North for any closing comments.
John North: Thank you for your interest and we'll talk to you next quarter.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.